Operator: Good morning and welcome to the Priority Technology Holdings' Fourth Quarter and 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Chris Kettmann. Please go ahead.
Chris Kettmann: Good morning, and thank you for joining us. With me today are Tom Priore, Chairman and Chief Executive Officer of Priority Technology Holdings; and Tim O'Leary, Chief Financial Officer. Before giving our prepared remarks, I would like to remind all participants that our comments today will include forward-looking statements, which involve a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The Company undertakes no obligation to update or revise the forward-looking statements whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings, and we encourage you to review these filings. Additionally, we may refer to non-GAAP measures, including but not limited to EBITDA and adjusted EBITDA during the call. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our press release and SEC filings available in the investors section of our Web site. With that, I would like to turn the call over to our Chairman and CEO, Tom Priore.
Thomas Priore: Thank you, Chris, and thanks to everyone for joining for joining us for our fourth quarter and full-year 2023 earnings call. I'd like to start today by discussing the continued positive trends we're currently seeing in the business, as well as several important developments at Priority, including the successful integration process of our August acquisition of Plastiq. As a result of these trends and developments, we're excited to report the strongest results in our history, and we are well-positioned to perform even better in 2024, and beyond. Consistent with what we saw through the first nine months of the year, during the fourth quarter, we delivered strong results in SMB acquiring, B2B payables, and enterprise payments. We remain convinced in the potential of our Unified Commerce vision, combining payments and banking functionality on a single platform, accelerated by the strength of our diverse business line, now we're positioned to benefit from higher interest rates, and to perform in a variety of macroeconomic environments, including the one we're experiencing today. Total customer accounts operating on our commerce platform now exceed 860,000. As we processed approximately $120 billion in transaction volume during 2023, while administering $900 million in deposits at the end of 2023. Looking at our financials, we maintained our positive momentum with strong results in the fourth quarter. Our Q4 revenue of $199.3 million, increased over 12% from the prior year. This led to a 20% increase in adjusted gross profit of $72.9 million, and a 12% improvement in adjusted EBITDA to $44.6 million. Adjusted gross profit margin of 36.6% increased 230 basis points from the prior year quarter, highlighting the strong operating leverage of our purpose-built platform. For the full-year 2023, revenue increased 14% to $755.6 million, leading to a 21% gain in adjusted gross profit to $275.3 million. Combined with the 220 basis point increase in adjusted gross profit margin during 2023 to 36.4%, we generated a 20% increase in adjusted EBITDA over the prior year. As you can see from our results and the strong guidance we put out this morning, not only did we outperform expectations in 2023, but we also expect strong growth in margin trends in our business channels to continue in the year ahead. We project to deliver full-year revenue of $875 million to $890 million, an increase of approximately 16% to 18% over 2023. In addition, we expect to generate full-year adjusted EBITDA of $193 million to $198 million, a 15% to 18% increase over 2023. Our confidence reflects the value our customers see in our product and technology offering, the strength of our diverse sales channel performance, and the efficiency of our operating teams that continue to deliver. Fueling our strong outlook, we expect the Plastiq B2B channel to be an important growth driver in the business as demonstrated by the success we're seeing so far. Since closing, on August 1, our teams have focused on synergizing operations and embracing revenue growth initiatives, mitigating drag on EBITDA from the acquisition, and demonstrating once again that we are uniquely built to systemically absorb and operating software in payment assets to quickly drive profits. For those of you who are new to the company, slide six highlights the architecture of our proprietary Unified Commerce Platform that is purpose built to collect, store, lend and send money, combining robust payments and banking functionality to monetize the commerce networks we serve. Our customers and current market conditions continue to reinforce our belief that systems combining features of both payments and banking to distribute funds in multiparty environments will be critical as businesses put greater demands on software and payment solution providers to accelerate cash flow and optimize working capital. We're committed to meeting our customers' expectations by refining the experience of our partners to make working with Priority as seamless and simple as we can. Our performance illustrates that partners consistently choose the Unified Commerce Applications in the SMB, B2B Payables and Enterprise segments that best fit their business, adopt the Passport Financial tools that meet their needs and move their money with Priority. We are highly focused on the continued innovation of our SaaS payment suite of services and the Passport Commerce Engine and are eager to meet the evolving needs of our growing portfolio of customers. At this point, I'd like to hand it over to Tim, who'll continue to provide further insights into our segment level performance during the quarter and the year, along with current trends in each that's factored into our guidance for the full-year 2024.
Tim O'Leary: Thank you, Tom, and good morning, everyone. As I review the results, please refer to the supplemental slides or the MD&A for further details. Our MD&A is included in the Form 10-K that was filed with the SEC this morning and provides a discussion of our comparative fourth quarter and full-year results. A link to that filing can also be found on our website. As Tom mentioned, we had strong financial performance across the business in the fourth quarter and for the full-year. I won't repeat the highlights already referenced. But before I go into segment level results for the fourth quarter, I do want to mention a few other key metrics as it relates to some of the discussion we had on our Q3 earnings call. For the full-year, adjusted gross profit from our B2B and Enterprise segments represented over 50% of total, while for the fourth quarter, that same figure was 57% as we continue to experience higher growth in our higher margin operating segments. Recall that Q3 was the first quarter where the combined profitability of B2B and Enterprise exceeded SMB. In addition, the highly visible and recurring nature of our business model continues to gain momentum as over 58% of adjusted gross profit in Q4 came from monthly fees or revenues that are not dependent on transactions or Bankcard volume. Moving now to the segment level results and starting with the SMB segment on slide eight, SMB generated Q4 revenue of $139.9 million, which is $9.9 million or 7% lower than the prior year's fourth quarter. As discussed on prior calls, a large reseller partner started to diversify their activity, and we expected that diversification strategy to continue throughout 2023. If you look at the year-over-year impact of that shift on the Q4 results, it was an almost $18 million headwind to revenue. Excluding that impact, the SMB business experienced over 5% revenue growth. Bankcard dollar volume in SMB was $14.6 billion for the quarter, which is down 2% from $14.9 billion in the prior year. However, adjusted for the aforementioned reseller, Bankcard dollar volume increased 7% in the quarter compared to the prior year. From a merchant standpoint, we averaged over 205,000 accounts during the quarter, lower than the 257,000 average in Q4 of 2022 and new merchant boards averaged 3,700 per month during the quarter compared to an average of 4,600 per month in last year's fourth quarter. Adjusting for the impact of the large reseller, the average number of merchant accounts during the quarter improved by 4,300, and the average number of new merchant boards increased by 300 per month. As a last point on this topic, I would highlight that the diversification activity with the large reseller concluded in Q4. So, while we expect the related year-over-year impact in Q1 and Q2 of 2024 as we anniversary that change, the sequential quarters should not see a comparative headwind. Adjusted gross profit in SMB for the fourth quarter was $31.6 million which is $4.4 million lower than last year's fourth quarter. The 12% decline was partially impacted by lower volumes and revenue from the large reseller, but given its lower margin, that resulted in a modest $1 million reduction in gross profit. The quarter is also reflective of a shift in mix of volume, revenue and related gross profit from our top reselling partners who operate with higher commission rates. Gross margins of 22.6% in the quarter are down from 24% last year for the same reason. Lastly for SMB, quarterly operating income of $11.1 million represents a $3.8 million decline from $14.9 million in the prior year's fourth quarter. Operating income was negatively impacted by the factors already discussed in gross profit. Moving to B2B, revenue of $21.2 million was an increase of $18.4 million from the prior year. Plastiq, which joined Priority on August 1, contributed $17.5 million of the increase during the quarter while CPX grew by $1.4 million or 57% on a year-over-year basis. Those increases were partially offset by a $300,000 reduction in the balance of the B2B business. Adjusted gross profit in B2B increased to $5.3 million as a result of the Plastiq acquisition, combined with 60% growth in gross profit for the CPX business. For the quarter, gross margins were 24.9% compared to 62.1% last year. But as discussed in our third quarter earnings call, that decline is fully attributable to the Plastiq acquisition and the related impact of the GAAP reporting requirements for the Plastiq business compared to the balance of the B2B segment, which results in lower reported margins per unit volume. The B2B segment produced $1.7 million operating loss during the quarter, which was the result of increased operating expenses from Plastiq including certain nonrecurring compensation expense. Moving to the Enterprise segment, Q4 revenue of $38.1 million was an increase of $13.3 million or 53% from $24.9 million in the prior year. Favorable trends from the past several quarters and new monthly enrollments and billed clients combined with an increase in the number Passport program managers, growth in deposit balances, and the higher interest rate environment all contributed to strong revenue growth. As a result of those factors, adjusted gross profit for the Enterprise segment increased by 55% to $36 million, while adjusted gross profit margins improved to 94.5% in the quarter. Operating income was $23.9 million for the quarter in the Enterprise segment. Moving to consolidated operating expenses on slide 11, salaries and benefits of $21.7 million increased by $4.8 million or 29% from Q4 of last year, but that was only $1.6 million higher sequentially than Q3 as we continue to focus on maintaining our expense discipline. Compared to the Q3 levels, the $1.6 million sequential increase was partially attributable to the full quarter impact in Q4 of the acquisition of Plastiq combined with higher bonus and benefit expenses in the quarter. We finished the quarter with approximately 980 employees, which is compared to approximately 870 at the end of 2022 and 990 at the end of Q3 2023. SG&A of $14.1 million increased by $6.1 million from $7.9 million in Q4 2022, the year-over-year increase was due primarily to the acquisition of Plastiq in Q3 combined with noncash restructuring costs related to discontinued operations for part of our healthcare payments business, legal fees for certain nonrecurring litigation matters, and an increase in third-party software cost. Depreciation and amortization of $15.1 million for the quarter decreased by $2.9 million from the comparable quarter last year. Moving to the next slide, adjusted EBITDA for the quarter was $44.6 million which was an increase of 12% from $39.8 million in Q4 of 2022. Interest expense of $20.6 million for the quarter increased $4.4 million from Q4 2022 levels as a result of acquisition related debt increases in the quarter combined with the impact of the higher interest rate environment. Moving the capital structure and liquidity overview on page 13, debt levels during the quarter increased to $654.4 million, which was driven by the issuance of $50 million of incremental term loan borrowings in the quarter. Proceeds from the issuance were used to repay revolver borrowings from the Plastiq acquisition and to put additional cash on the balance sheet for general corporate purposes. Net debt of $614.8 million was higher by $300,000 compared to the balance at the end of Q3. From a liquidity standpoint, we ended the quarter with all $65 million of borrowing capacity available under our revolving credit facility and $39.6 million of unrestricted cash on the balance sheet. For the LTM period ended December 31, adjusted EBITDA of $168.3 million represents $4.8 million of sequential quarterly growth from $163.5 million at the end of Q3 and $28 million, or 20% growth since the end of 2022. Preferred stock on our balance sheet totaled $258.6 million at December 31st and is net of $16.9 million of unaccredited discounts and issuance costs. The fourth quarter preferred dividend of $12.5 million consists of $7 million paid in cash and $4.6 million of a PICC component. This is supplemented on our income statement with the accretion of discounts and issuing costs of $850,000. Before turning the call back over to Tom, I wanted to further address our financial guidance for the full-year 2024, which can be found on slide 14 in the presentation. Based on continued strong growth and trends in the business, we are forecasting 16% to 18% growth in revenue to a range of $875 million to $890 million for the year. Adjusted EBITDA growth is forecast to be 15% to 18%, which would result in a range of $193 million to $198 million for the full-year. Given our prior comments on the margin variances in certain segments and even specific partnerships within the consolidated business, this year we are also providing guidance for adjusted gross profit, which we view as an important metric for measuring overall performance of the business since not all revenue is created equal. For the full-year, we are forecasting 18% to 22% growth in adjusted gross profit, which would result in a range of $325 million to $335 million. I'll provide some color on the guidance by segment. We're forecasting mid-single-digit growth in revenues from SMB as we anniversary the impact of the large reseller's diversification. If you adjust for that impact, we are forecasting low double-digit revenue growth in SMB. B2B's top-line growth will be skewed by the full-year effect of Plastiq, which only had five months of results in 2023, but we also expect CPX to show continued growth over 20% on a year-over-year basis. Lastly, Enterprise is forecast to continue its momentum, although we have moderated growth expectations in 2024 to account for the strong growth already experienced in 2022 and 2023. With that, I'll now turn the call back over to Tom for his closing comments.
Thomas Priore: Thank you, Tim. Before wrapping up, I'd like to take a minute to discuss where priority is in our journey. Everything we've done over the past several years, from the significant early investment in our technology infrastructure, to our focus on diversifying our offering with countercyclical assets, to our acquisition of Plastiq, was done with intention and purpose to provide our customers with an elegant, unified commerce experience, combining our pillars in acquiring payables and banking on a single platform. Our results are demonstrating that we're achieving that goal. Priority has made the turn to delivering tech-enabled services that accelerate cash flow and optimize working capital through a powerful commerce platform to collect, store, lend and send money, allowing us to approach the marketplace in acquiring payables and banking solutions in a very unique way. The success of our offering is evident not only in our growth numbers and margins, but also when talking to our customers and partners. While we are outperforming our peers in today's market, most importantly, the clear advantage we've created through our unique capabilities and style of engagement provides a long-term runway with enormous upside. Let me share one of the ways we've separated ourselves. On slide six, we've included a link to a video highlighting priorities, half-court product for the SMB and ISV acquiring channel. I highly encourage you to watch the two-minute video when you have a chance, as it showcases how our Commerce API can embed cutting-edge finance applications that optimize our customers' cash flow, streamline transaction reconciliation, and optimize working capital. Through Passport's link to our MX Merchant acquiring tools, customers can have access to their funds in minutes of their batch closures, even on weekends and holidays. They can access bill payment tools that earn them cash back as they pay their bills, utilize embedded lines of credit as they need them, and even invest their surplus cash in money market, Treasury bill, and core bond funds. While this short video primarily highlights the SMB use case, it's just one monetization opportunity. Our technology is transferable across our current payable business lines and our growing list of enterprise verticals like instruction, investment management, lending, healthcare, sports and entertainment, and insurance, among others. Our decision, in late 2022, to accelerate investment in Passport is paying significant dividends, especially given the continued struggle of the banking sector, and the general frustration in banks among businesses of all sizes. Our systems are built for the future and are proving ready for the current test under fire. We're confident, and our future results will demonstrate how we've taken unified commerce to the next level by meeting the demands of modern business, and empowering our customers to thrive in the real-time economy through unmatched speed and transparency to their cash flow. We're delivering this message as we broaden the unified commerce conversation, and it resonates with our current customers and prospective customers alike. In closing, I want to thank all of colleagues at Priority, who not only delivered an excellent year of growth and success in 2023, but entered 2024 more committed than ever to our mission. Thank for your continued dedication and the exceptional work you do every day. And lastly, we appreciate you all taking the time to participate in today's call, and the ongoing support of our investors and analysts. Operator, we'd now like to open up the call for questions.
Operator: Thank you. We will begin the question-and-answer session. [Operator Instructions] And the first question will come from Jacob Stephan with Lake Street Capital Markets. Please go ahead.
Jacob Stephan: Hey, guys, thanks for taking my questions. I know you kind of touched on the reseller diversification concluding, here in Q4. But maybe you could just walk us through how you're thinking about vertical within the SMB that you're primarily targeting here?
Thomas Priore: Yes, I'll just -- I don't think it's going to be really a departure from what we've done historically. We've got a very diverse group of resellers that some of whom are, I'll call them, horizontal sales networks. Others are more vertically based, so some in professional services or in wholesale trade or those in of all recurring billing. So, some of them have unique areas of expertise, and they really blend together in a framework that you see across our portfolio, that we don't expect that mix to meaningfully change. I'll tell you, there are some areas where we're adding renewed dedication that we think will increase proportionally over time. They really mesh with some of our ISV investments. The construction space most certainly. We built some unique tools that we'll be rolling out across our distribution in the second quarter. Healthcare is another that we'll proportionally seek to increase. Say, if there's a dynamic, in particular, really driving the future of acquiring is it'll be less so segment-driven, and more so the implementation of, you could think of it as, adjacent or bundled services to get a chance to, for instance, just watch that video. It's picking up all of the other areas of expense that small businesses have that they're frustrated with. They're frustrated with their bank, they're frustrated with the way they pay bills and the way cash flow moves through their business. So, we think providing tailored or curated point of sale on the front end, and banking and payables products that work seamlessly with that experience, that's the focal point at this point. And we have very high expectations of that strategy. And the beautiful thing, I think, is the way we've built it. Our ability to deploy it does not come at any incremental cost. So, it's very high margin to our performance.
Jacob Stephan: Okay, got it, that's helpful. And then maybe just last one for me here, the restructuring charges on the healthcare payments business that you referenced. Do you expect any lingering impacts in Q1? Any elevated non-cash charges as we look at our models?
Tim O'Leary: No, we don't expect any lingering charges there. We went ahead and took the restructuring charge in the fourth quarter. And it won't have much of an impact on the numbers either going forward. It's already been baked into our guidance.
Jacob Stephan: Okay, got it. Thanks. I'll turn it over.
Operator: The next question will come from Tim Switzer with KBW. Please go ahead.
Tim Switzer: Hey, good morning. Thanks for taking my question. I appreciate all the color on the guide, and you guys touched on it real quickly. For the expense outlook, could you guys talk about where you expect expenses to trend over the course of 2024? And then, particularly, the cost of revenue trends, and how you guys would like to direct your investments going forward, next year?
Tim O'Leary: Sure, yes, I think from a overall guide standpoint on the expenses, as you could tell, sequentially, going from Q3 to Q4, we continue to maintain good discipline on the salary and benefits side, and really try to gain efficiencies across the business as we think about the grow-over from what we had in '22, where we did invest a lot in the business from a personnel and technology standpoint. So, I think you'll continue to see that discipline deployed throughout the balance of 2024. Within the various segments, I think our faster-growing parts of SMB are the larger resellers. So, I think we'll continue to see some compression there in the core gross margins, but as Tom mentioning a second ago; a lot of the ancillary products we can sell into that SMB customer base are going to margin-enhancing events. So, I think we're optimistic that we'll be able to hold and expand margins in SMB overall, despite some of the natural headwinds you have there as the larger resellers grow faster. And then in enterprise and B2B, we'll continue to see margin expansion or lest consistency, right? I think you'll see some potential flattening in enterprises, given where it's already operating, at 94%-plus gross margins. And then within B2B, as we continue to see Plastiq expand, right? Obviously -- we only had five months of revenue in 2023 from Plastiq. As we get a full-year effect in '24, that may put some overall pressure on gross margins in B2B, but that's really just because of the accounting treatments. That business is performing well, it's ahead of expectations, from originally how we made the acquisition, and we're optimistic that that will continue in '24.
Tim Switzer: Great, yes, that's helpful. And for the rest of the guidance that you guys gave, could you talk about the different factors, whether it's macro or customer trends that could maybe drive upside or downside from the high end and low end of the guidance?
Thomas Priore: So, I'd say -- look, first off, the macro environment will always have some influence. We've -- I think we would submit that we've been very thoughtful in the way we've constructed the diversification of our business lines where, there'll be instances in a downward economic environment where you'll see the consumer slow down, which is a natural headwind to payment processing and acquiring. Historically, we have offsets to that on the enterprise side that do very, very well when consumers need assistance with debt resolution or, I'll call it, consumer wellness strategies that benefit many of the areas that we operate. The other thing, of course, is B2B tends to do well when interest rates are higher and there is a focus on new sources of revenue in business as economy slow because it does provide a unique source of revenue for more efficient supply chain management and working capital optimization. So, having tools that bring those to bear with customers as they're ready to adopt has accrued to our benefit. So, we feel really good about the -- I'll call it the cyclicality that could present. Look, the biggest opportunity we have and we've been very, very modest in our assumptions is really the adoption of banking and payables as an adjacency to our customers who are using us for acquiring and other really other kind of, I'll call it vertical solutions, right? They're being now exposed to a tool set that gives them simplicity to do things that they want to do every day in their business, but their current solutions don't provide them. A good example is let's take two quick examples, and this is why we send that video out so you could see it. As they say, a picture is worth a 1,000 words. If I'm an SMB, right, hey, I want to get my money fast. Well, when you're using our Banking-as-a-Service product alongside MX Merchant, that money shows up within minutes of your batch closure, even on a holiday or a weekend. That doesn't happen with any other provider in our space. From a restaurant, that's gold to me. I'm getting my money on a Saturday, a Friday night or Saturday or Sunday or a holiday, and I can then utilize that cash flow to pay vendors using my debit card that's attached to that account or perhaps a virtual card that allows me to receive cash back because my vendor will accept virtual card or perhaps they won't and I want to extend my receivable. I can use Plastiq, use my own credit card to pay my vendor. They'll get an ACH that next day and perhaps I get an early pay discount. I pay the fee to Plastiq, which of course is a Priority entity, and I don't have to pay my credit card bill for on average 55 to 60 days is the typical delay between making a purchase and when your credit card bill is due. So, these are very elegant tools that all work in harmony and it's really just educating their use case in our existing customer base. We don't need to sell more customers. We just need to have them adopt tools that are good for their business. That's one such use case. Another that we're very focused on is we have lots of consumers who come in to our partners to help them resolve debt issues, particularly in this current environment. Well, adding to that a bank account, it will help them start to go on a consumer wellness journey with that same partner that's helping them out of issues with their debt. That really helps harmonize their financial well-being and their experience in one place. And these are all things that we can offer without any incremental expense at Priority. It's all built. It's just deployment. So, we think that's the most powerful advantage we have. And I can tell you, it's winning in the marketplace with a host of ISVs and enterprise customers who are saying, yes, I want to embed those types of solutions in my product experience, in my customer relationship, and we're in easy place to help them do that.
Tim Switzer: That's awesome. Really appreciate all the detail. Thank you, guys.
Thomas Priore: Yes, thank you for the question.
Operator: Your next question will come from Brian Kinstlinger with Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Hey, great. Good morning. Thanks for taking my questions. I wanted to discuss the balance sheet and start there. Despite the cash flow, the net debts increased. Can you talk about capital deployment plans in 2024? And related to this, in the past, you made some strategic divestitures where it made sense that would create shareholder value. Do you see any of these opportunities? And I'm only throwing it out there, it's probably not it. But CPX, it's about 1% revenue contribution, although it fits well in your flywheel of money movement. There's been some great valuations in M&A. I'm just kind of curious high level about some of those things.
Tim O'Leary: Hey, Brian. It's Tim. Thanks for the question. Yes, looking at the balance sheet, obviously the debt from a gross standpoint did increase from Q3 to Q4. That was largely driven by the Plastiq acquisition. We had financed that acquisition under the revolver. And then, as the broader debt markets improved, we went to the term loan market, upsized our existing term loan, and paid off the revolver. Given some of the demand, we actually upsized the term loan and put a little cash on the balance sheet. So, from a net debt standpoint, it was neutral. So, it was a leverage-neutral transaction if you think about it that way. So, the net debt at $614 million, we continue to de-lever from a multiple standpoint as EBITDA grows. So, we finished the quarter with 3.6 times net leverage on the senior debt. If you include the preferred equity, it would be at 5.2. But those numbers continue to come down. And if you think about the balance of the year, even if you don't assume a debt pay down, which obviously is not our assumption, but even if you don't assume a debt pay down, you just look at the EBITDA guidance we have out there, you'll have another half turn deleveraging throughout the year just from growth in cashflow in the business at the EBITDA level. So, I think we're optimistic about the balance sheets and our ability to manage that. We're constantly thinking about capital deployment and whether it's acquisitions versus debt pay down versus other investments we can make to drive further revenue growth and margin enhancements and overall increase shareholder value. So, that's a constant conversation we have as well as looking at the portfolio of assets we have. You've seen us do that in the past. I'm not going to front-run anything that we may or may not have in the works, but we've always looked at the portfolio and thought about value creation and thinking about how can we best monetize assets and drive shareholder value, and that won't stop.
Thomas Priore: And Brian, if I can add a thought on that, just, and I appreciate kind of the perspective on it. In some regard, in fact, I would submit to you, given the stock that's clearly undervalued relative to our peers, our growth rate is substantially higher, our multiple is much lower, reconciling, utilizing equity for some of these acquisitions, it's hard to justify that that's actually going to create shareholder value, particularly when you look at how quickly we get assets performing. And take Plastiq as a good example. It's a business when we acquired it, it was losing, conservatively, it was burning $20 million of cash. That business in our hands is cash flow positive. It is on a phenomenal trajectory. So, at the appropriate time, when we feel like we've maximized its value within our platform or even other things we have, will we find other partnerships? Will we consider other ways to monetize our portfolio of assets? Certainly. Knowing that, in doing it the way we have, we will have created outsized returns for shareholders, but it's going to take the work of getting assets that were non-performing, performing, which we've proven we're very good at, and then optimizing those at the right time when it's going to benefit the long-term shareholder value. And so, just to kind of reiterate, that is a focal point. And in some of the current circumstances while it increases the quantum of debt, we're doing it responsibly where we're actually deleveraging in the process. So, the value creation is pretty obvious.
Brian Kinstlinger: Yes, no, look, I mean, my answer to that would only be creating good returns on acquisitions and growing EBITDA hasn't generated value because of the balance sheet overhang. And so, I would just submit that, that has to do with the cheaper valuations, if anything more. But anyways, the EBITDA conversion to free cash flow in the last two years has been about 36%. Is there an opportunity to grow that or is that a good proxy for how we should think about cash flow compared to EBITDA?
Tim O'Leary: Yes, I think we always look at ways to expand that, right, whether it's being more efficient with the balance sheet and thinking about opportunities to lower our cost of capital as markets improve around us. And I think we have seen the capital markets improve, so we're evaluating those opportunities from a cost of capital standpoint. We also think about the acquisitions that we look at in the pipeline and the ability to deploy capital more efficiently, potentially offer our own balance sheets or other partnerships. So, I think we're always looking at ways to enhance the free cash flow conversion in the business.
Brian Kinstlinger: Okay, lastly, the growth rate, year-over-year growth rate for accounts billed on enterprise business has accelerated in the last two quarters to above 50%. Is there a large, law of large numbers we should think about? I guess I'm trying to understand, can you sustain that growth rate for the next couple of quarters? And then which industries are enjoying the best business development trends as it relates to that business?
Tim O'Leary: Sure. Let me just talk about the industry sectors. I think we've really successfully taken a simple approach, right? Like we follow the money, okay? At its heart we're in payments, right? So you can appreciate the logic of that. , we've tried to build tools that are particularly work well in where there are large pools and there's complexity. And a couple that have caught our eye where we're active and we're winning logos are construction, that is a bit of a quagmire, right? Company that, it's a sector that needs cash flow acceleration, it has a broad spectrum of participants with a multi-trillion dollar industry in the United States that's largely lacks automation. So, we've got tools that I'll say are suited for the enterprise segment that we are deploying and are winning. We have those that are for the middle to small market segment that I alluded to in acquiring that we've already are in beta testing and we'll be going out to the broader community. So, that's an area where linking that AR, so I take in money, but then I also have to make payments out, is a natural -- there's a natural solution elegance to that. So, that's what we're bringing to market across enterprise and mid-market. Enterprise is more ISV focused, mid-market to small market is more with our own proprietary technology, it's called MX build. So, that would be one example. Another is the investment management space. Again, very archaic, terrible banking experience. I think if you talk to go talk to our debt holders and they're raising money from LPs, they'll tell you it takes six weeks to set up an account, even for an existing LP, terrible experience. We can do that in six minutes because we virtualized all the banking and have already pre-qualified participants for AML, KYC AML, KYC, KYB, OFAC, FinCEN, right, these are modern banking automations that apply very well in industries like that. So, those are two of the more substantial that we already have customers on platform, we are learning more and more, and we see tremendous opportunity. And then, I'll mention another that's been a mainstay for us is in real estate. That whole segment in the way transactions occur through real estate, everything from escrow and how closings and broker fees occur, to the renter experience and how that's transforming through the property management and this idea of being able to manage cash flow at a property level through AR and AP solutions that persist at a property level, all of that requires a meshing of payments and banking. And those are the segments where there are large flows of money, large pools. They take some sophistication to address, so not everyone's going to get there. And we're seeing a lot of opportunities to win and are deploying resources in those verticals.
Brian Kinstlinger: Okay, thank you.
Operator: Our last question today will come from Hal Goetsch with B. Riley. Please go ahead.
Harold Goetsch: Hey, good morning guys. I've got a quick question. You guys gave some great detail on gross profit. You said 58% of Q4 gross profit was from monthly fees. And I was wondering if you could give us some color on the components of that. How much of that gross profit of fees is dispersed amongst the three different segments? Is that mostly in enterprise or B2B? Or is there still like a pretty good amount of gross profit in monthly subscriptions for even in the SMB? Can you give us some color on that?
Thomas Priore: Sure, Hal, happy to jump in there. So, yes, the various components that we have fixed monthly fees or even in the SMB business it's not all transaction or volume dependent. There are fixed monthly fees per account, so, that figure, if I think about gross profit, that's going to be 15 plus percent or so of gross profit in the quarter. And then, you have the monthly fees within the enterprise business along with the income we make on our permissible investments. Those all drive part of the balance of the recurring gross profit that's not transaction or volume dependent. So, a lot of it does sit in enterprise, but SMB has a very consistent level of recurring gross profit as well.
Harold Goetsch: Would it be like monthly fee like for the -- like $20 a month or it would depend on the client and how much volume they do or the hardware or software they use. Is that kind of where it comes from?
Thomas Priore: Yes, it depends on the nature. I'll describe it this way. It's the nature of the subscription. So, some pay platform, and then we manage accounts on their behalf. And then, others think of it like pay by the drink, where each account has a subscription. And the reason that is different, Hal, is there are certain expenses they may be passing along to their end market and others they are not. So, those are the driving factors. And it's very subscription or I should say subscriber/integrated partner oriented. It'll depend on their business model.
Harold Goetsch: Yes, and I know it's a really detailed question, but of this kind of recurring business of it's not dependent on Bankcard volume, kind of can you give us a feel for like, what that grew versus the previous year? So we know I mean this is, like, really high value business then. Well, I'm getting at it. It's like, this is a growing part of your business. This is very high multiple types of things, and we're not a high…
Thomas Priore: Yes, that was one. I have to call it's like it's a great question and that's kind of what we're saying is every dollar is not created equal, right? So I know Tim's got some stats prepared for you.
Harold Goetsch: Okay.
Tim O'Leary: Yes. So, without getting into specific dollars, but if you think about just the percentage, obviously, we mentioned 58% of gross profit was recurring in Q4 of this year. That number was 43% last year in Q4, right. So, for full-year '23 it was 51%. So, we're continuing to see that percentage grow and drive higher value in the business, right? That is repeatable, highly visible recurring gross profit that we see and that's why we're starting to report that and give you a better sense of the consistency and the profitability.
Harold Goetsch: All right, terrific. Thanks, guys. Great quarter. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Tom Priore for any closing remarks. Please go ahead, sir.
Thomas Priore: Well, just like to thank everyone once again for taking the time to learn more about Priority and certainly listen to our perspective on the potential for our business, the industry at large and where we see the opportunity set. And we are hopefully, as you can see from the quality of our performance and where we are projecting for the upcoming year, we are laser-focused on delivering results. So, thank you very, very much. I hope everyone has a great remainder of the week, and we look forward to the next opportunity to connect, and measure how we did. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.